Operator: Good morning. My name is Rebecca, and I will be your conference operator today. At this time, I would like to welcome everyone to the Brookdale Senior Living Third Quarter 2025 Earnings Call. Today's conference call is being recorded. [Operator Instructions] At this time, I would like to turn the conference over to Mike Grant, Brookdale's Vice President of Investor Relations. Please go ahead.
Michael Grant: Thank you, operator. Good morning, everyone, and welcome to Brookdale Senior Living's Third Quarter 2025 Earnings Call. Participating on today's call are Nick Stengle, Brookdale's recently appointed Chief Executive Officer; Dawn Kussow, our Executive Vice President and Chief Financial Officer; and Chad White, our Executive Vice President, General Counsel and Secretary. On this call, we will discuss financial results for the third quarter of 2025 as well as updated financial guidance for the 2025 year. We'll also provide you with other general business updates. During today's call, our remarks, including our answers to your questions, will include forward-looking statements pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act. These statements are made as of today's date, and we expressly disclaim any obligation to update these statements in the future. Actual results and performance may differ materially from forward-looking statements. Certain of the factors that could cause actual results to differ are detailed in the earnings release we issued after market yesterday as well as in our Securities and Exchange Commission filings, including the risk factors included in our annual report on Form 10-K and quarterly reports on Form 10-Q. I direct you to the release for the full safe harbor statement. Also, please note that during this call, management will discuss non-GAAP financial measures. For reconciliations of each non-GAAP measure to the most comparable GAAP measure, I direct you to the earnings release and to the company's quarterly supplemental financial information, which may be found at brookdaleinvestors.com and was furnished on an 8-K yesterday. With that, it is my pleasure to turn the call over to our CEO, Nick Stengle.
Nikolas Stengle: Thank you, Mike. Good morning. I appreciate everyone joining us for today's call, my first as Brookdale's CEO. This morning, I'll provide a high-level review of our third quarter results, followed by an update on the 5 strategic priorities originally outlined by the Brookdale leadership team during the Q1 earnings call earlier this year. Before that, I'd like to start by thanking the 35,000 Brookdale associates who provide the amazing care and service every single day in all hours of the day that is the hallmark of what it means to be a Brookdale associate. I would also like to thank the roughly 49,000 residents and their families who put their trust in Brookdale. And finally, I would like to thank our shareholders for their continued support and insight. I'd also like to take a moment and recognize the interim office of the CEO comprised of our Board Chair, Denise Warren; our CFO, Dawn Kussow; and our General Counsel, Chad White, who, since mid-April of this year, jointly assumed the CEO function. This team did a fantastic job of refining and executing Brookdale's strategy in addition to their primary roles during a period of transition. The team remained focused and made excellent progress on improving our culture, our operations, our portfolio optimization and our financial results. I am excited for the opportunity to work alongside these strong leaders and continue the trajectory they have set Brookdale on. Since joining Brookdale early last month, I've spent my time getting to know our people and culture, getting to know our investors, connecting with our communities and residents and digging into the business. I'll take a moment now to briefly introduce myself and answer some questions I've heard frequently since joining Brookdale, specifically why Brookdale and why now. Let me start with my background. During my career, I've held executive operational leadership roles across multiple industries, including senior living, health care, restaurants, private equity portfolio operations and hospitality. Most recently, I've served as President and Chief Operating Officer of Gentiva, the largest provider of hospice care in the United States, where I led 12,000 associates across approximately 550 locations in 38 states. In addition, I was the COO of Gentiva's predecessor company, Kindred at Home, where I led the largest home health and personal care operation in the United States. In the interim period, I served as the Chief Operating Officer for Sunrise Senior Living, of which many of you are familiar. I also worked at TPG Capital, Marriott and HMS Host, all in senior leadership roles in operations. Earlier in my career, I served in the United States Air Force for 11 years in a number of positions, including as a Top Gun instructor pilot, flight commander and Deputy Director of Operations. One common theme of all of my prior roles is a focus on operations, building teams, leading people and driving for high performance, which all ties nicely to my role here at Brookdale. Now to answer the question why Brookdale, I have worked both within and adjacent to the senior living industry for the last 7 years, and Brookdale is universally recognized as a leading company in the space with a matchless reputation for providing compassionate service and care. Given its place in the industry and its exceptional potential, it is truly a privilege and an honor to join Brookdale at this moment in its history. Furthermore, as I got to learn more about the company through the interview process and my own review, it became evident that there were a handful of meaningful opportunities within Brookdale that closely matched my experience. I made the decision to join because I felt that I could help lead the company in unlocking the intrinsic value of Brookdale by unlocking these same opportunities. Now I'd like to share a couple of examples. First, earlier in my career, I worked for the Boston Consulting Group, where I spent an entire year on a single strategic pricing project. I also spent half a year on a separate project with another client implementing the use of promotions to drive market share. This experience really taught me the power of pricing, the need for analytical rigor and more importantly, the need for discipline in the implementation of pricing action. While Brookdale does have a targeted approach, I can already see that there's much more that can be accomplished in this space to optimize both occupancy and profitability. Another observation is how Brookdale has deployed its free cash flow. While this has been constrained in the past, today, Brookdale is generating positive cash flow, and there's an opportunity to use that cash flow to drive the business. While serving as COO at Sunrise Senior Living, I saw firsthand the power of how deliberate CapEx deployment can directly tie to occupancy growth, underpin growth in room rates, improve resident satisfaction and expand NOI. At Brookdale, we will spend approximately $170 million to $175 million in CapEx this year and can already see that there are opportunities to spend it more deliberately towards NOI driving projects. The next question is why now. There are historically strong tailwinds in the senior living industry underpinned by both sides of the free market coin, strong demand and limited supply. The baby boomer silver tsunami is undeniable. The leading edge of the tsunami begins in 2026 as the first baby boomers turn 80 years old and begin to enter the sweet spot of the typical age that residents move into senior living. At the same time, the growth in supply in recent years has been severely stunted with new construction starts at record lows and development and construction time lines continuing to expand. Given current construction costs, extended construction time lines and elevated borrowing costs, we expect new supply to remain muted for years to come. This is particularly true in the price points and markets in which Brookdale mostly competes. Wrapping this all together, the senior housing industry is sprinting towards a period of real scarcity, and it's exciting to lead a company that is the third largest owner and the largest operator of such a scarce resource. Let's turn now to third quarter highlights, where Brookdale delivered another solid performance. Many of the positive trends seen in the first half of the year continued into the third quarter. Specifically, I would like to call out 2 highlights from the quarter, our improved occupancy growth as well as our strong adjusted EBITDA, and we'll ask Dawn to provide more details. Number one, our occupancy for the quarter achieved a weighted average of 81.8% and 82.3% on a same community basis, its highest level since the beginning of the pandemic in Q1 2020, and we closed the last day of the quarter with a consolidated occupancy of 83.8% and 84.0% on a same-store basis. As you will recall from our prior calls, for Brookdale, there's a meaningful inflection point for cash flow generation due to the fixed cost leverage in our operating model that begins around the 80% occupancy mark, so we are excited about our progress. It is noteworthy to highlight some specific efforts that contributed to this occupancy growth. We've previously discussed our SWAT-team approach to improve performance across our lower occupancy bands. This effort is picking up steam. In Q1, we reported 143 communities that had an occupancy below 70%. In Q2, we reported 129 communities below 70% occupancy. And this quarter, we have further reduced the count to 89 communities below that threshold, an improvement of 38% in just 2 quarters. Of these remaining 89 communities that are below 70% occupancy, 26 are slated for disposition through either lease terminations or asset sales, and 22 are working with our SWAT teams. That leaves 41 remaining communities, and of those, 16 need only 1 to 3 move-ins to exit the sub-70% occupancy band. At the top end of the range, communities with occupancy greater than 90% grew from 154 in Q1 to 169 in Q2 to 192 in the third quarter. This represents a 25% improvement and now roughly 32% of our total community count is above 90% occupancy. Our SWAT teams are improving operational performance and deploying capital in a way that directly ties to occupancy and EBITDA growth. The teams are also taking a very targeted approach regarding rate to ensure our RevPOR outpaces our expense growth in these communities. The second item I want to highlight is that our adjusted EBITDA in Q3 increased 20% over the prior year and is up 23% year-to-date. Brookdale again generated positive adjusted free cash flow amounting to $21.8 million in the quarter, which is an increase of 57% as compared to prior year. Based on the strong performance in Q3 and our outlook for the remainder of the year, we are raising our guidance for 2025. For full year 2025 adjusted EBITDA, our guidance moves from a range of $445 million to $455 million to a revised range of $455 million to $460 million, an increase of $7.5 million at the midpoint of the range. While I do plan to conduct a more comprehensive analysis of Brookdale's strategy in the coming months and to share my conclusions with our investors, we continue to make progress against the five-pronged strategy shared in our first quarter call, and all of these components will remain central to unlocking Brookdale's intrinsic value. As a reminder, those 5 elements are: number one, improve operating performance; number two, optimize our real estate portfolio; number three, reinvest capital into our communities; number four, reduce leverage; and number five, elevate quality for residents and associates. On the first item, improved operating performance, I already shared our improvement in occupancy across our portfolio as well as our EBITDA growth. Much of the progress through the end of the third quarter is a result of our SWAT-team approach, targeted pricing actions and a focus on operational accountability. Additionally, at the beginning of the fourth quarter, we implemented a new regional operating structure, which we expect to further accelerate our operational results. The new structure is designed to focus the entire company from our headquarters down to each of our communities on delivering operational excellence. One concern we sometimes hear is that Brookdale is a national company that does not have the ability to be as nimble and focused as smaller regional companies. Our recent organizational design places all operations under a single leader, who, in turn, leads 6 regional vice presidents. Each of these 6 new regions has their own dedicated functional support leaders that span sales, clinical, HR, recruiting, FP&A, asset management, dining and other functional roles. In effect, these 6 regional leaders act similarly to a general manager, having direct ownership of their specific business. We are, in practice, 6 operating companies of roughly 100 communities each that are tied together with the resources provided by a central support team in the form of our community support center. On our second strategic objective, optimizing our real estate portfolio, we continue to streamline our portfolio to focus on communities with the strongest long-term value creation potential. By the middle of 2026, we anticipate that we will have a portfolio of approximately 550 communities. As of September 30, Brookdale's consolidated portfolio was at 623 communities, 221 leased and 372 owned, a reduction of 14 leased and 10 owned communities since midyear. As announced previously, we plan to exit a total of 55 leased assets by year-end. 43 of those are now complete. We remain on pace to transition the remaining properties this quarter. From the original group of 14 dispositions we announced in the first quarter, all but 4 have already been completed, and those 4 are currently under contract and expected to close by year-end. For the second group of 20 assets that we announced in the second quarter call, about 1/3 are already under contract or LOI, and we continue to expect that the remaining closings will occur during 2026. As we previously stated, the exit of these groups of assets will result in improved occupancy, RevPAR, adjusted EBITDA and adjusted free cash flow while generating cash proceeds that can be used for capital reinvestment and required debt repayments. Note, of the 32 assets remaining to be sold, 18 are in the under 70% occupancy band. During the third quarter, we invested $33.4 million into capital projects in our communities, in line with our third priority of capital reinvestment. We have several hundred capital-related projects underway, ranging from first impression aesthetic upgrades to larger renovations. Our SWAT teams continue to prove that targeted capital investment where it matters most for existing and prospective residents can have an outsized impact to occupancy and EBITDA growth. Our fourth strategic objective is to reduce leverage. Brookdale's adjusted annualized leverage at the end of the third quarter was 9.0x adjusted EBITDA on a trailing 12-month basis, a vast improvement over the 9.9x at the end of last year. We will continue to reduce leverage meaningfully as our adjusted EBITDA continues to grow. Notably, 88% of our total debt is nonrecourse debt secured by property level mortgages. Nearly all of our debt is refinanced through 2026, and our team has made excellent progress towards working with our lenders on the 2027 tranches. As I come close to the end of my prepared remarks, I would like to highlight that we plan to hold an Investor Day early in 2026 to share far more specifics on how these priorities are progressing and provide visibility into the results we expect to deliver over the next several years. In the interim, I'd like to share a brief perspective on how we view our momentum today. As I shared, our SWAT team efforts are working and our ability to deploy targeted CapEx in specific communities is generating outsized RevPAR and EBITDA growth. Each quarter, we are passing the 80% occupancy inflection point at more of our communities, whereby the marginal adjusted EBITDA flow-through naturally expands because of the tremendous operating leverage inherent in our business. At the same time, as more of our communities move into the higher occupancy bands, our pricing strategy will continue to migrate towards driving rate, particularly in our highly occupied communities. With our established and expanding positive performance, we expect to deploy more of the cash we generate towards first impressions and other capital improvements that are directly tied to future adjusted EBITDA expansion. Putting all of these factors together, we are projecting annual adjusted EBITDA growth in the mid-teen percentage range over the next several years on our ongoing portfolio. This will, in turn, naturally reduce our leverage ratio each year, and we expect to achieve a ratio of below 6 by the end of that period. We are confident in the intrinsic value of the company, and we intend to accelerate our operational and financial performance improvement as we optimize our footprint and thereby continue to create durable and sustainable shareholder value. To conclude, I'm very excited to be at Brookdale, particularly at this inflection point for the company and the industry. We have a lot of work ahead of us, but the opportunity is there, and we have already proven that we have the capability and momentum to capture that opportunity. There's a strong future ahead for Brookdale for our team members and for our shareholders. Now it is my pleasure to turn the call over to our CFO, Dawn Kussow, for more details on our financial performance and outlook.
Dawn Kussow: Thank you, Nick. The team is excited to have you onboard. As Nick described, we are very pleased with our third quarter financial results. In particular, occupancy and adjusted EBITDA exceeded our expectations, providing us the confidence to increase our fiscal 2025 guidance range. Specifically, we're increasing our guidance for full year 2025 adjusted EBITDA to a revised range of $455 million to $460 million from a prior range of $445 million to $455 million, and we expect to come in above the midpoint of our RevPAR range of 5.25% to 6% of year-over-year growth. In the third quarter, we grew our occupancy 170 basis points sequentially on a consolidated level and by 150 basis points on a same community level, capitalizing on the summer selling season. We also expanded our consolidated adjusted EBITDA by $18.8 million or 20% year-over-year. We have made significant progress on our lower occupied communities, both through performance improvements and portfolio optimization efforts, and we expect to see the impact of margin flow-through as these changes progress. We're pleased with our continued progress and are optimistic about the remainder of the year. Before getting into results, I'd like to give you an update on our previously announced actions to rightsize our portfolio. As a reminder, we expected to transition 55 communities leased from Ventas by the end of 2025 year as well as 42 communities owned by Brookdale that we have identified as noncore and that, for a variety of reasons, would be better fit for a different owner/operator. These communities would transition both during 2025 and 2026. During the third quarter, we transitioned 13 Ventas assets with approximately 1,400 units and exited 10 communities with 242 units. During the next month, we expect to transition the remaining 42 Ventas communities, of which 30 were already transitioned as of November and to complete the sale of 6 communities. The remaining previously announced dispositions are expected to be completed in the next 9 to 15 months. To that end, when we talk about same community results, it approximates our ongoing portfolio results as the additional dispositions are expected not to have a meaningful impact on the ongoing net operating income. The same community population already excludes results from all Ventas communities that are to be transitioned out in 2025 as well as the 6 communities under a purchase agreement or letter of intent. Importantly, you will see in our updated third quarter investor deck on Slide 18 the disposition of the 25 previously announced communities, which have low occupancy and would have a negligible impact on our operating income. Now moving to third quarter results. Our third quarter consolidated weighted average occupancy was 81.8% and on a same-community basis, our weighted average occupancy was 82.3%. This is a much improved absolute level of occupancy. Joining last quarter as our first quarter above 80% since the pre-pandemic months of 2020, 81.8% consolidated occupancy represents improvement of 290 basis points year-over-year and 170 basis points sequentially. On a same-store basis, weighted average occupancy for the third quarter was 82.3%, representing an increase of 260 basis points year-over-year and 150 basis points sequentially. The occupancy growth stems directly from Brookdale initiatives to drive occupancy, including our SWAT-teams approach, targeted pricing actions and a focus on operational accountability. Looking at our top line results. Resident and management fees of $778 million increased 4.2% over the third quarter of last year. The components of this 4.2% year-over-year growth are a 5.9% increase in RevPAR, partially offset by 1.6% decline in the number of total available units from our previously announced portfolio optimization, including the disposition of both owned and leased communities. The 5.9% increase in RevPAR from the third quarter of the prior year was driven by an ongoing acceleration in year-over-year weighted average occupancy. Comparable third quarter move-ins were 2% above the prior year, while move-out volume was also beneficial in the quarter. Resident rate increases more than offset the ongoing trend of lower resident acuity as revenue per occupied room or RevPOR increased 2.2% year-over-year. The third quarter exhibited sequentially improving occupancy as the strong occupancy trend has continued into the quarter. As you may recall, during the second quarter, we experienced some softness in our move-ins early in the quarter, and we responded by implementing strategic and selective incentives to drive move-in growth during the important summer selling season. These actions were successful as seen in our occupancy, and we moderated incentive usage in the third quarter. Third quarter same-community RevPAR increased 5.3% over the prior year, driven by 260 basis points of occupancy growth, coupled with a 2% increase in RevPOR. Our third quarter same-community weighted average occupancy continued to accelerate with 150 basis points of sequential growth. While the third quarter is typically the highest sequential growth period of the year, Brookdale's third quarter occupancy growth exceeded its normal seasonality for this period. Now turning to expenses. On a same-community basis, third quarter expense per occupied unit or ExPOR increased 1.8% over the third quarter of 2024. This 1.8% increase in ExPOR is lower than the 2% increase in our RevPOR, reflecting a positive spread between realized revenue and expenses per occupied unit. As lower occupied communities continue to move up in the occupancy bands, we expect to see the flow-through to continue to expand. Year-to-date, same-community RevPOR has improved 2.4%, while ExPOR has increased 2%, creating a positive spread of 40 basis points. Third quarter same-community operating income grew 6% from the prior year, and the operating income margin improved by 10 basis points. Year-to-date, same-community operating margin has improved by 30 basis points over last year. Note that there is seasonality associated with operating income margin, including an extra Labor Day and higher spend in utilities in the third quarter. So it's typical to see our operating margin decline from the second to third quarter of the year. Third quarter general and administrative expense, excluding noncash stock-based compensation expense and transaction, legal and organizational restructuring costs, was flat year-over-year as a percent of revenue. Brookdale remains focused on appropriate cost structure as we optimize our portfolio. As Nick mentioned, we made some organizational structure changes effective at the beginning of the fourth quarter. We expect the impact of these actions already taken to become more apparent in our fourth quarter G&A. Lastly, cash operating lease payments were $56.7 million, down $7.7 million from $64.4 million in the prior year quarter as a result of the acquisition of 36 formerly leased communities in late '24 and early 2025 and to a lesser degree, the initial Ventas dispositions. Adjusted EBITDA for the third quarter was $111.1 million, an increase of $18.8 million or 20.4% above the prior year quarter. Year-to-date, adjusted EBITDA is 22.5% higher year-over-year. We're pleased with our level of adjusted EBITDA performance relative to our internal expectations and analyst consensus estimates as this is reflective of our improving operational performance and the benefit of rationalizing our G&A early in the year. We delivered $21.8 million of adjusted free cash flow, our third consecutive quarter of positive adjusted free cash flow. For the year, we've generated $45.5 million of adjusted free cash flow, $63.4 million ahead of where we stood at this point last year. We remind you that our fourth quarter is generally a period of cash outflow, and we expect to generate $30 million to $50 million of adjusted free cash flow for the full year 2025. Notably, both our owned and leased portfolios were adjusted free cash flow positive in the quarter. As of September 30, total liquidity was $351.6 million, up $1.6 million from the second quarter. As a result of our adjusted EBITDA improvement, we continue to maintain recent progress on our adjusted annualized leverage, which improved to 9x with Brookdale now exceeding 80% occupancy, roughly the fulcrum point at which our fixed costs are covered. We are beginning to enjoy more significant adjusted EBITDA growth. As a result, we expect our annualized leverage to continue to decline significantly in coming years via adjusted EBITDA growth with additional deleveraging and as a result of the disposition activity we've announced. Turning next to our 2025 financial expectations. As reflected in yesterday's press release, given our strong third quarter results, we've increased our annual guidance for adjusted EBITDA. We continue to expect 2025 RevPAR growth in the range of 5.25% to 6% over the prior year, and we expect to be above the midpoint of that range. Our raised 2025 adjusted EBITDA guidance range of $455 million to $460 million incorporates these favorable top line expectations. Our guidance continues to assume that all 55 of the Ventas nonrenewal communities will be transitioned by year-end. The transition is expected to have an impact with both revenue and expenses stepping down from the transition communities with a partially offsetting reduction in cash operating lease expense. We expect cash operating lease expense to be approximately $46 million for the fourth quarter. As a reminder, we have realized G&A savings throughout the year, so we expect a timing difference on our G&A savings compared to our step-down in operating income offset by the cash lease expense reduction. We do expect G&A to step down modestly in the fourth quarter from the third quarter from the actions we've recently taken to realign our business. As you consider how the fourth quarter may vary from the third quarter performance, we remind you of some of the seasonal factors inherent in our business. For our ongoing portfolio, fourth quarter occupancy tends to remain relatively flat versus the third quarter as we're coming out of the seasonally high summer selling season into the holiday season, and RevPOR or realized pricing tends to step down sequentially. Labor costs are similar to those of the third quarter as both have the same number of days and holidays. Fourth quarter working capital is seasonally a cash outflow generally driven by real estate tax payments, and we expect a working capital cash outflow from community transitions. The seasonal factors are all called out on the last page of our investor presentation. To date, 2025 has been a light year for hurricanes and other storms in our geographic footprint. We are toward the end of our storm season now, and we feel comfortable with our assumptions regarding annual storm activity. Finally, we would anticipate greater G&A savings related to the Ventas transitions in the fourth quarter than in the third quarter, though the full realization of those savings is likely to be felt in 2026. In contrast, the corresponding operating income step down from divesting Ventas communities will largely impact the fourth quarter with a partially offsetting step down in lease expense. In summary, we're pleased with our third quarter operating and financial results, which again exceeded our internal expectations. We remain confident in our strategic and operational plans, which are beginning to yield solid adjusted EBITDA growth. Our team is enhanced through the addition of an operations-focused CEO, and we're excited to have Nick onboard. Brookdale is again operating with purpose, and we are confident in our ability to build sustainable long-term value for our shareholders. Operator, we will now open the call for questions.
Operator: [Operator Instructions] Your first question comes from the line of Brian Tanquilut with Jefferies.
Brian Tanquilut: Congrats on the quarter, and Nick, excited to work with you here. So maybe my first question, Nick, as I think about the fact that you've been here in the job for a month now, just curious, number one, what have you seen as areas of opportunity within the Brookdale portfolio. And number two, how are you thinking about strategically the whole philosophical debate between pricing focus versus occupancy versus cash generation, FFO, all these things?
Nikolas Stengle: Awesome. Thanks, Brian. So I have been here just over a month, literally 1 month and 1 day today, but I'll tell you a clear picture is already evolving in that short period. We will share a lot more details during the Investor Day that I mentioned during the prepared remarks. And I did also mention the 5 strategic priorities, which kind of define the overall framework of what I'll call the vision, the strategy. But the real vision, the real pivot here is that we're going to be changing the underpinnings of that framework. And what I mean by that is we're going to take a far more offensive posture as a company. We're going to be driving the business as opposed to reacting to the business. Part of this is doubling down on this cultural mindset that we are first and foremost an operating company that is built upon a real estate foundation. Maybe I'll talk to that a little bit more in a second. I would like to share maybe a few examples of what I mean when I say we're going to be more offensive. And the first item is around our organizational structure. Now as I say that, I'm going to admit that's not what typically grabs the headlines or what shows up in the analyst reports, but it is what defines what a company is. It defines how companies think, how they operate, the culture, and all of that is changing. Unfortunately, some of that predates me during the transition period, but we're going to continue doing a lot of that. And a lot of that does start really at the very top. It starts with me, first and foremost, as the CEO, both my experience and my approach and just doubling down on this idea that we are an operating company. A key part of that, this idea we're an operating company, is that we have consolidated all our operations under a single leader. And this leader wakes up every morning, and she's figuring out how we can convert the next prospective resident into a move-in, how can we retain all our residents through our care and service, how we can reduce the associate turnover, how we can expand NOI in each of our communities. The second focus is on our headquarters. We call it the community support center. And this focus is truly living up to that name. We are the community support center. I've learned an adage as I've done some community visits these last few weeks, and there's an old Brookdale adage that says, if you're not serving a resident, serve someone who does. And we're going to double down on that concept. It's alive and well in the communities. I want that to spread throughout the company. If we're not serving a resident, we're going to serve someone who does. The last part of it, and I didn't mention this during the prepared remarks, is we have pivoted to this regional support structure where we have 6 purpose-built teams led by a leader with dedicated functional leaders kind of from a 1-to-1-to-1 relationship. So in effect, we've become 6 companies of about 100 communities to really be nimble, really be focused on the regional aspects of senior living. The second thing that's changing kind of under this idea of more of an offensive posture is around CapEx deployment. We are investing in our communities in projects that are going to tie to occupancy and NOI growth. And really, we're just setting up a flywheel. As occupancy goes up, we'll be able to drive better rate. We'll be able to expand the flow-through because of the operating leverage, and we'll be able to generate more NOI, which then obviously turns into more cash flow that we can do more of that. And the third part, and you sort of alluded to in your question, this idea of pricing. I briefly mentioned my experience in pricing is quite extensive in a previous life. And I have learned long ago, even if you think you're perfect at pricing, you can always do better. And it's always just a question of the amount of effort that is worth trying to get after that. And I will tell you, even though Brookdale does it well, it does it fine, there is a system across the platform. We can do it far, far better. And that will be one of the focus points, is this idea of a strategic pricing platform that is just far more dynamic on what is going on in the business, both on the low end of occupancy, but just as importantly, on the high end of occupancy being dynamic to the things that are happening within the four walls but things that are happening within the marketplace that, that community lies. I wouldn't mind mentioning a few things on kind of why I feel good about pivoting towards this offensive posture. And first, it's our positive cash flow. So we are generating that cash flow. As our occupancy, as our rates continue to grow, that cash flow will continue to expand. So we are now -- we have the freedom to invest that into our communities, invest that right back into our business in the form of capital improvement programs. The other thing is the SWAT team, and I know we've talked about it now for a couple of quarters, but it is working. I mean we have now defined the playbook. We have defined the approach. We have a real deliberate thing we can do that is working in our communities in those less than 70%. It's a mix of operational focus. It's a mix of capital deployment. It's just creating a better laser focus, and we're going to use this to continue expanding the performance of our business. The last item I'll talk about is the silver tsunami thing on kind of why I feel good about it. And I feel as an industry, we've been beating this drum now for the last 10, 15 years, the silver tsunami is coming. It's coming. Well, it is here. And all you have to do is look at active adult. The wave on active adult hit around 5, 10 years ago as the baby boomers turned 70, turned 75. And you can see active adult occupancies have been very stabilized at 90% plus, almost minimal impact through COVID, obviously, because of the setting of the living. Well, now it's time for the assisted living, the memory care segment to benefit from that same silver tsunami. The front edge of the wave is next year as baby boomers turn 80. And as you look at industry stats, the average move-in for assisted living, for memory care is in that low 80s. It's 80, 81, 82, and Brookdale is exactly right in the middle of that. The other drum that we've been beating as an industry is this idea of new starts being at record lows, and that is real. In fact, even if new starts tonight, at the end of this call, went back to what was needed to cover the demand, the reality is that new start will take 4, 5, 6 years before resident #1 can move in. So there's just a long kind of tailwind, a long runway here with the silver tsunami with the demand and where it is. And as you put that all together, really, we're talking about a game of scarcity. We are the third largest owner of senior housing, of senior housing real estate. So it feels pretty good to have that as our underpinnings of an operating company where we're holding and owning a very scarce and valuable resource that will become only more so in the next few years.
Brian Tanquilut: I appreciate that. It's very, very insightful. Maybe, Dawn, as I think about Q3 results, right, and I think about RevPOR, just thinking about kind of like the bands that you showed in actually this very good presentation that Mike put together. Some of the slides, you show the occupancy bands. And curious what kind of views you had on discounting and how we should be thinking about RevPOR going forward. Then maybe just as I think about Q1 or 2026, just seeing social security raise benefits by 2.8%, how you're thinking about pricing for next year.
Dawn Kussow: Yes, that's a great question. Thank you, Brian. I think for our fourth quarter, we obviously are going to -- and I said in my prepared remarks, we'll get a little bit of a benefit as the dispositions come off in our RevPOR. But certainly, we are very laser focused on the budgets for 2026. And as Nick said in all of his comments, just going through the budget process now, certainly very focused on making sure that we're driving rate at the high occupancy and driving rate across the organization and ensuring that we have that in-place rate increase is [ what ] put in on January 1. That will give us our single biggest economic benefit next year and just making sure that, that is going to be in excess of what we expect for our ExPOR for the year.
Operator: Your next question comes from the line of Ben Hendrix with RBC Capital Markets.
Benjamin Hendrix: To start with, congratulations and welcome to Nick. We're certainly looking forward to working with you. One thing that we noticed on the release was a new FFO disclosure. I just wanted to get some insight on your decision to start to closing that metric, how you're thinking about the normalized LTM figure in the context of the owned portfolio value and where you think that could go as the optimization ensues.
Nikolas Stengle: Yes, Ben, glad you noticed that and glad you asked the question. I was listening to Welltower's earnings call last week, the recording of it. And Shankh mentioned -- I'm going to paraphrase this. He said something along the lines of Welltower is now an operating company in a real estate wrapper. I think that's the word he used, which I think is a pretty appropriate characterization of the evolution that Welltower has been on over the last few years, which got me thinking about Brookdale and kind of how we would kind of describe ourselves. And obviously, we're the largest operator. Everyone knows that, largest operator in senior living, have been that way even despite the dispositions of late. But the part that we have to keep reminding ourselves and other folks is we're also the third largest owner of senior living real estate. Welltower, Ventas obviously being 1 and 2. We are the third -- next largest owner in that senior living real estate. So the way I would say it, I would say we are an operating company built upon a foundation of real estate. And that foundation of real estate, as I kind of mentioned a couple of times now, is becoming a more and more scarce resource. It's becoming a more and more valuable resource. And as such, we thought it would be helpful to provide an additional perspective on how we view our own performance internally and how we view the value of our company as compared to other real estate companies. And we thought that FFO is -- provides such a view into the company.
Operator: Your next question comes from the line of Joanna Gajuk with Bank of America.
Joanna Gajuk: So maybe first, I guess, a couple of follow-ups. When you mentioned this organizational change that you are just making, I guess, that started this quarter, so did I get it right, it's going to impact G&A? And I wasn't quite sure whether you were trying to say negatively or positively. It sounds like quarter-over-quarter. And then I have a follow-up on next year.
Nikolas Stengle: Joanna, I'll take a first crack at the question and then Dawn may add a few more specifics. So our G&A is reducing. I think on Slide 18 or 19, we talk about $162 million projected for the year, which is a reduction. As I was describing that organizational change, we actually removed a layer and removed some folks in a layer and consolidated it. So in effect, it's kind of a net 0 G&A cost when it comes to the organizational component that I described very explicitly. So there's no increased cost. And the commentary was not even really about saving dollars or spending dollars. It was more about a mindset of a company who's an operating company underpinned by real estate. I'll continue using that term. I like it, that we are an operating company. So we're going to structure our way -- ourselves that way. We're not adding additional heads. We're not adding additional positions. To accomplish that, we're just refocusing folks that we are 6 regions with the functional expertise, and we're 6 regions running 100 communities each. Dawn, anything to add on the [ extra dollars ]?
Dawn Kussow: Yes. And Nick's exactly right. I think on Slide 18, we have what we expect for the $162 million for 2026. As you do the math on, that will be a step down. As you think about 2025 run rate and then merit increases, the cost of inflation coming into 2026, that will be a step down. And then the other thing that I would just point out is, in the current quarter, you'll see we did take some restructuring charges or some severance costs in our add-back. So that's just a direct result, just not an impact for the ongoing run rate.
Joanna Gajuk: Okay. So that was my question here. So the $162 million reflects the change. It sounds like that's a net 0 impact. And then the $162 million also reflects any like merit increases that you would do.
Dawn Kussow: Absolutely. Absolutely, yes.
Joanna Gajuk: So that's kind of like the number. Okay. So this is not like a starting point. This is actual like your kind of initial view of that number into next year.
Dawn Kussow: Yes.
Joanna Gajuk: Okay. Perfect. And then a couple of -- I guess, on the guidance, so you did raise your EBITDA, right, and you expect to be at the higher -- or the above, I guess, midpoint of the RevPOR. But then there was no change to free cash flow guidance. So why is that? Is there something that's offsetting that beneficial effect of the EBITDA being higher?
Dawn Kussow: Yes, Joanna. We do -- as you recall, the fourth quarter is generally a working capital cash outflow. We have a couple of things mainly ongoing as our real estate tax payments come through in the fourth quarter. And then we do expect this quarter -- or excuse me, the fourth quarter of this year to have a little bit of a negative working capital impact just simply from the transition of the dispositions. And then I think it also allows, as Nick was talking about in his comments here, some flexibility on our CapEx and our CapEx spend, so the ability to strategically deploy more CapEx as we identify that.
Joanna Gajuk: All right. That makes sense. And I guess a little bit different topic, but a follow-up to something in prepared remarks about your maturities, right? So you do have some maturities coming up in 2026. I guess there's a bank debt. So maybe can you talk about your plans to address the 2026 maturities?
Dawn Kussow: Absolutely. As you recall, the bank debt, we have some extension options on. We would plan to extend that bank debt and then go and refinance that debt. The single asset loan that we've got coming due in the third quarter of '26, it's a very small loan. We would expect to roll that into the refinancings that we're doing but very much focused on that bank debt and the early 2027 debt that's coming due in our refinancings this year.
Operator: Your next question comes from the line of Andrew Mok with Barclays.
Andrew Mok: Appreciate all the comments around mid-teen EBITDA growth over the next few years. Nick, you noted that you're going to be digging into the business in the coming months and presumably share that at the Investor Day. What gives you conviction to make that statement now before -- and why do that before the Investor Day?
Nikolas Stengle: Yes. So obviously, we'll go into far more details of kind of how we're viewing this, how I'm viewing this at that Investor Day, and hope you guys can join in, Andrew, where we'll kind of lay it out. And I don't want to continue just repeating things, but I mean, the first thing is just the undeniable market dynamics. We -- I've used the word scarcity a few times now. As an industry, we're running headlong into it, and it starts next year. So as we look at our -- the progression, as we look at where we are, there's just -- there's a reality there, especially for our company since we're so heavy in assisted living and memory care. I think we're about 70% mix. That is not a discretionary spend. You cannot delay or defer it. The alternatives are not good. So prospective residents that need that care, that need that service have to go somewhere, and we are going to be ready to serve them and care for them. Oh, by the way, as you look at the NIC data, NIC as in N-I-C, it's -- we always kind of get a little bit of a hit as a company because we do lag it, so not an exciting place to be. But I'm going to pivot that and say, hey, that's runway. That is opportunity for us. As our competitors fill up and are no longer able to take residents and we have openings right across the street, right across the town, then that provides even more tailwind, more opportunity for us to fill those spots. Then the other reality is kind of as we're looking at the business over the next 1, 2, 3 years, even though new starts are down, there are constructions that are in place and they are opening up. But the reality is the cost of capital and the cost of construction is so high that these owners, in order to get the return, are driving rates that are a premium to ours. So in effect, even if a new competitor opens a shop right across the street from an existing Brookdale, quite often, we're not even chasing the same customer because they're at a completely different price point because of the need to get the return on that construction. So not only is the supply low. It's not even kind of impacting us or something that we compete directly against. And then the last point I'll make, again, I've said this now a few times, but I really want to double down on this idea, the SWAT teams are working. So we now have a model. We have a plan. We have a team. We have an approach. We have the cash flow available for the SWAT team. In fact, going back to Joanna's question, our whole free cash flow guidance, I ask the team to give us the freedom. Let's not pin ourselves down to some guidance that we feel constrained in using CapEx with our SWAT teams. So we're going to use CapEx with our SWAT teams to do what is working and continue running the business. So again, a lot more to come, Andrew, but appreciate the question.
Andrew Mok: Great. And if I could, a follow-up on the occupancy gains. It's been obviously very strong there the last couple of quarters. Do you have a sense for how much of your occupancy gain is coming from seniors that are new to senior housing versus market share gains from competitors?
Dawn Kussow: Yes. I would say -- I don't know that we track it exactly that way. But I don't know that we have that breakout of the occupancy of the gains but certainly excited that we're at 170 basis points of sequential occupancy for the quarter, expect to get a little bit of an occupancy lift in the second -- or in the fourth quarter with the dispositions that we're seeing and excited to come off of a strong summer selling season. As you saw in our release, that flowed into our October occupancy, so we're still continuing to see that strength.
Chad White: Yes. And Andrew, this is Chad. One thing I would mention and add to that is we've really also seen continued improvement in our controllable move-outs. So we are delivering very strong satisfaction. Resident satisfaction is really important for us. We're driving strong growth year-over-year in our NPS scores. And so not only are we attracting new residents, and we're excited for that. We want to serve more seniors. We're actually delighting and satisfying our existing residents as well and seeing strong growth in that, which is also helping and support that occupancy growth.
Nikolas Stengle: Yes. Well said, Chad. Let me add one more thing. And it doesn't answer your question directly on this market share point, but I do want to point out, and I think it's aligned with this. Our sequential occupancy growth on the same-store communities grew 150 basis points from Q2 to Q3. NIC, again, N-I-C, not me, NIC data, N-I-C data, kind of the comp set, they grew 50 basis points. So we grew sequentially 3x the overall market. So I have to believe there's a market share component to that, but it'd be hard to tease out exactly what that looks like.
Operator: Your last and final question comes from the line of Josh Raskin with Nephron Research.
Joshua Raskin: I'll add my congrats as well to Nick. I guess the first question I have would be how do you maintain best practices and sort of that broader organizational benefit that you get from scale as you move to these 6 regional units where everyone is running their own business.
Nikolas Stengle: Yes. Great question, Josh. And as you can tell, org design is very important to me. It's because we have a single operational leader that reports to me and the 6 regional leaders that in turn report to this 1 leader. Again, it's this idea that we have to be regional to be nimble to be able to focus on specific regions, all while underpinned with the strength that Brookdale has to offer and the resources we have to offer and the guidance. And it's all about empowerment. So what I've already been telling the team, and again, I've been here 1 month, 1 day is we, at the CSC, we set the goal. We set the objective. We help pave the road. And again, I'm using analogies here. I mean by pave the road, we give the CapEx. We give the resources, finance and HR and our recruiting resources. We put up the guardrails. So those are our policies. But then we let these 6 regional leaders run down the road. And as long as they're going down the road towards where we want them to go and we're all aligned, it works beautifully. So it's a good question. But I'll tell you, in my experience, the most successful companies are ones that have a structure similar to this. You don't want to centralize everything so far up in the ivory tower that you lose connection with what's happening in the communities. At the end of the day, the customers, our residents make decisions 650 times across 650 communities. So by doing this, we just get 1, 2, 3 steps closer to that decision.
Joshua Raskin: All right. That's perfect. And then I've got a sort of EBITDA margin growth question. You're laying out this longer-term mid-teens EBITDA growth rate. I'm just curious, sort of starting at, let's call it, 15% margin corporate-wide this year, where does that longer-term target go? What do you think is the opportunity there? And then should we assume mid-teens growth starts in 2026?
Nikolas Stengle: Yes. So I'll say yes. Yes. So my prepared comments made that pretty clear. So mid-teen growth, it's a multiyear run rate, and it starts -- well, it starts now. And we -- again, at the Investor Day, we'll model it out in a lot more detail, do some sensitivities around it, that type of nature. And I think Dawn wants to say something as well.
Dawn Kussow: Yes. Josh, I just would clarify that -- just to make sure that it's on the ongoing portfolio because we do have a level of disposition noise that's going on. So we did add Slide 18 to the investor presentation, so just to call that to your attention that we put that in there for a level of clarity of kind of the starting point of the ongoing portfolio, broke it out between owned and leased. So you could probably start there. And then we gave you some insight into what we expect for G&A and lease expense for 2026 as well.
Operator: Ladies and gentlemen, I would now turn the call back over to Nick Stengle for closing remarks.
Nikolas Stengle: Well, excellent. Appreciate it, Rebecca. So I guess I'll close this by the way I opened it, and I want to thank all our associates providing amazing care every single day. I mean this only works because of them. I want to thank the residents, the 49,000 residents, the families that continue to trust us and the prospective residents that will be trusting us and then our investors. Really appreciate the support, the insight, kind of the interest in Brookdale. So with that, Rebecca, I think we can close the call. I wish everyone a pleasant weekend.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.